Operator: Good day, ladies and gentlemen, and welcome to the Axcelis Technologies First Quarter 2014 Conference Call. My name is Esteban, and I will be your coordinator for today. [Operator Instructions] I would now like to turn the presentation over to your host for today's call, Mary Puma, Chairman and CEO of Axcelis Technologies. Please proceed, ma'am.
Mary G. Puma: Thank you, Esteban. This is Mary Puma, Chairman and CEO of Axcelis Technologies. With me today is Kevin Brewer, Executive Vice President and CFO, and Doug Lawson, Executive Vice President of Corporate Marketing and Strategy. If you have not seen a copy of our press release issued earlier today, it is available on our website. Playback service will also be available on our website as described in our press release. Please note that comments made today about our expectations for future revenues, profits and other results are forward-looking statements under the SEC's Safe Harbor provision. These forward-looking statements are based on management's current expectations and are subject to the risks inherent in our business. These risks are described in detail in our Form 10-K annual report and other SEC filings, which we urge you to review. Our actual results may differ materially from our current expectations. We do not assume any obligation to update these forward-looking statements. In the first quarter, Axcelis remained focused on our 2 primary objectives: systems growth and expense management. Our systems revenue increased by 27%, and our expenses remained under tight control, yielding results within guidance on all key financial metrics. Strong growth in our systems business was led by the Purion XE, our high-energy product. Purchase orders from multiple customers were received and shipped in the quarter, and as forecasted, high energy was a significant contributor to our Q1 revenue. In medium current, we successfully completed the technical evaluations on both outstanding Purion Ms and are now positioned for follow-on orders at 3 different customers. We have also seen substantial interest in the Purion M from several additional customers. Activity on the Purion H, our high current system, has been very strong, driving higher than anticipated demo activity and processing of customer wafers at our advanced technology center in Beverly. Switching to service. Our GSS revenues were down quarter-over-quarter, driven by mixed fab utilization rate across regions and customers. While fabs at the leading edge are close to 100% utilized, there are many others, particularly at some of the second-tier customers, who are just beginning to see a recovery. This has made our GSS business less predictable and somewhat lumpy. Turning to our second quarter guidance. We are expecting revenues between $55 million and $60 million, slightly down at the midpoint compared to Q1. We will also see a more diverse product and customer mix this quarter driven by industry dynamics. This will translate into operating results ranging from an operating loss of $2 million to breakeven and earnings per share ranging from a loss of $0.02 per share to $0.00 per share. Gross margins will be in the mid-30% range but slightly below Q1. Operating expenses will be down from seasonally high Q1 levels and run between $20 million and $21 million. Cash is expected to remain in the low $40 million range. Before I discuss additional details regarding Axcelis' business and products, I'd like to ask Doug to discuss the current industry environment. Doug?
Doug Lawson: Thank you, Mary. Like many of our peers, we see a softening of market conditions over the next 1 to 2 quarters. We see this as a pause in the current upturn and not a start of a down cycle. In the memory segment, we see this pause driven primarily by NAND, as we believe DRAM is at the beginning of a build cycle with multiple DRAM fabs in the construction phase. The NAND slowdown is likely being driven by several factors, including: 3D device yields, the digestion and qualification of initial 3D capacity and the business planning process required to balance the market demand for planar and 3D NAND. In the foundry and logic segment, leading-edge technology is driving the slowdown. However, we see an increase in activity for the more mature foundry and logic processes required to support growth in image sensor, MEMS and the microcontroller logic segments. The leading-edge foundry slowdown is being driven by the difficulty in developing and ramping advanced FinFET devices and by the complexity of the rapidly changing foundry business environment. The macro environment does, however, support the need for additional leading-edge capacity in both memory and logic over the next 12 to 18 months. The primary drivers of NAND capacity growth will be: the continued increase of NAND storage on mobile devices to support the current one-upmanship marketing strategy being used in the mobile segment; the growing demand for SSDs, or solid-state drives, in the traditional PC market and, more importantly, in enterprise applications; and finally, by the technology shift from planar NAND to 3D NAND. DRAM capacity on mobile devices has been limited by architectural constraints and by power constraints. The rapid migration of ARM application processors to 64-bit has removed this architectural constraint. This has opened the door for mobile devices to increase the amount of DRAM beyond the 4-gigabyte limit of older 32-bit architectures. Beyond this game of one-upmanship marketing, there are real reasons for the amount of DRAM to increase on a mobile device. There are more cameras and sensors, and display resolutions and size continue to increase. All of this requires additional DRAM. The additional memory and sensors also increase power usage. New technology in the form of traditional shrinks and advanced 3D devices will address these power issues and provide strong growth in the semiconductor equipment market during 2015. Additionally, the increasing number of cameras, sensors and coprocessors will drive steady growth in the more mature foundry and logic segments throughout 2014 and into 2015. Now I'll turn it back to Mary to discuss how this environment is impacting Axcelis and the Purion rollout. Mary?
Mary G. Puma: Thank you, Doug. Industry headwinds could challenge our revenue growth and profitability in the short term. We will stay focused on expense control to minimize the impact. But I want to emphasize, the key to our future is systems growth, and this pause will be positive for Axcelis. It will provide more time for the Purion M and the Purion H to gain strong foothold at customers. Evaluations will continue, and by the end of 2014, Axcelis will be better positioned to sell the full power of Purion: all 3 products into each new customer project. Our plans have not changed relative to product rollout. Purion XE and high energy will continue to provide a solid foundation to our revenues throughout this year and into 2015. We are well positioned to see the Purion M begin to ramp revenue during the second half of 2014 at multiple customers. Initially, this ramp may be slightly impacted by the industry pause, but it should accelerate as industry spending picks up. The Purion H high current product is expected to ship its first evaluation site during Q2, and additional evaluations will ship throughout the rest of this year. This will position Purion H revenue to ramp during the first half of 2015. Memory is our strongest market segment, and we expect a strong spending cycle in both DRAM and NAND as the upturn resumes. There are multiple DRAM construction projects underway and several NAND expansion projects planned for existing fabs. As a result of the industry pause, most of these customers will have experience with the full Purion product family in their own fab, allowing Axcelis to take full advantage of the spending cycle as it resumes. During the current industry upturn, we expect to return to our last peak quarterly revenues of $90 million and to sustain profitability through the next downturn. The Purion product family of ion implantation systems is key to our success, so I would like to take a few minutes to highlight the benefits the Purion platform provides our customers. The Purion high-productivity, single-wafer end station delivers 500 wafers per hour throughput. The Purion Vector dose and angle control system provides the high-level uniformity required for advanced device fabrication. And the Purion Shield ensures the lowest levels of contamination available from an ion implanter. The Purion platform is common to all Purion implanters and delivers significant benefits to our customers in the area of precision, purity and productivity. It also provides increased leverage of our R&D investments and improved opportunities for gross margin improvement across the full product family. Each product in the Purion family consists of a scanned spot beamline married to the common Purion M station. The Purion XE high-energy implanter, based on a linear accelerator, or a LINAC, beamline provides customers with the highest level of productivity and lowest level of metal contamination in the industry. Axcelis has approximately 70% market share outside of Japan, providing Axcelis with a strong presence in memory and image sensors. Due to the commonality of the entire Purion family, the Purion XE opens the door for the Purion M and Purion H in the memory and image sensor segments. The Purion M is ushered in a new era of innovation in medium current technology for the first time in over a decade. With its angular energy filter and broad energy range, customers recognize that the Purion M was designed to meet the stringent requirements for next-generation processes while ensuring superior levels of system productivity. Its single-magnet design significantly reduces electricity usage, addressing a major component of our customers' cost of ownership and sustainability programs. With the Purion H, our high current product, Axcelis continues to innovate by incorporating a magnetically scanned spot beam architecture into the design. This beamline architecture completely redefines the high current implanter, bringing new capabilities in the low-dose, low-energy application region critical for advanced FinFET devices. As a result of our innovative approach, customers using the full Purion product family will be able to develop new manufacturing strategies for their implant operations to improve productivity, yield and cost. These customers will experience the full power of Purion. With that, I'll turn it over to Kevin to provide more details on first quarter results.
Kevin J. Brewer: In Q1, we achieved our second consecutive quarter of profitability and fourth consecutive quarter of revenue growth, with system sales accounting for greater than 50% of our total revenue for the first time since Q2 of 2011. Revenue, gross margin, operating profit, earnings per share and cash all finished within guidance in the quarter, and we continue to tightly manage expenses while making the necessary investments in our Purion platform and products. Looking at the details of the Q1 results. Revenues were $60.8 million, within guidance, up from $58.6 million in Q4. Within our total revenue, system sales were $32.5 million, up 27% from Q4 and 155% from Q1 of 2013. GSS finished at $28.3 million, down 14% from Q4 but up slightly from Q1 of 2013. Lower fab utilization at some of our second-tier customers drove the decline from Q4 to Q1. We expect revenue to fluctuate quarter-to-quarter based on fab utilization and the level of used tool in upgrade sales. In Q1, sales to our top 10 customers accounted for about 81% of our total sales with 3 of these customers at 10% or above. Approximately 87% of our shipments were to memory customers, primarily flash, while 13% were to foundry and logic customers. Q1 system bookings were $27.7 million -- $27.6 million, up from $16.8 million in Q4, and our book-to-bill finished at 0.87 compared to 0.62 in the prior quarter. Q1 gross margin was 35.7%, within guidance and down slightly from Q4, driven by a substantially higher mix of systems revenue compared to GSS. Q1 inventory ended at $95.5 million, down from $95.8 million in Q4, driven by the sale of finished goods inventory. SG&A for the quarter finished at $11.9 million and R&D at $9.3 million. Combined, SG&A and R&D was $21.2 million, slightly above our guidance of $20 million to $21 million driven by higher than forecasted customer demo activity on Purion H. One-time annual unemployment insurance expense in the quarter accounted for approximately $0.5 million of SG&A and R&D spending. Q1 operating profit was $0.3 million and within guidance compared to $1 million in Q4. Net income finished at $0.2 million, or $0.00 per share, and within guidance. Cash and cash equivalents finished at $43 million, within guidance. Receivables finished up $1.5 million due to the timing of shipments. Our accounts payable were reduced by $1.6 million. Our Q1 performance was heavily influenced by improving system sales. We have managed expenses tightly, and we continue to do so throughout 2014 while making the necessary investments in our Purion platform products. Gross margin improvement roadmaps remain intact and are aligned to drive higher system gross margins as Purion M and Purion H sales volumes increase. Our cash remains strong, and we have a line of credit in place should we need additional working capital to fund a ramp. And as Doug and Mary highlighted, we are seeing some softening of demand in Q2 due to an industry pause, which would cause short-term pressure on operating results. However, we plan on taking full advantage of this pause to place Purion evaluation tools. This should field additional Purion systems revenue at the peak of the cycle. We remain committed to holding our expenses in check and achieving our goal of profitability through the next cycle. Thank you, and now I'd like to turn the call back to Mary.
Mary G. Puma: Thank you, Kevin. The role and performance requirements of ion implant have changed dramatically over the last few years. Ion implantation has become more challenging with scaling, and its use has expanded to add value in the manufacturing process by enhancing the performance of other equipment like etch. New implant applications require the most innovative technology. Purion is the most innovative platform on the market today since it was designed to be the implant platform of the future, optimized for low-energy requirements of advanced logic devices, high-energy requirements of advanced memory devices, and the uniform angle and dose control requirements of FinFET devices. The power of the Purion platform is increasing daily as customers buy the Purion XE, adopt the Purion M and learn more about the Purion H. There's a strong pull for the Purion H from customers running the Purion XE and Purion M in production. Other customers who have less experience with the Purion platform are very intrigued with the innovation that it brings to ion implantation. Axcelis is uniquely positioned and, thus, a unique investment opportunity in the semiconductor space. Although this short pause may have a slight negative impact on our quarterly financial results, it will also have a positive impact by creating significant opportunity to increase our Purion footprint. As the upturn resumes, we will have 3 innovative products positioned to ramp. Memory is expected to be strong, and thanks to our high-energy position, memory is where our strength lies. With Purion products and the expected memory ramp, customers, investors and Axcelis should all benefit from the power of Purion. With that, I'd like to open it up for questions.
Operator: [Operator Instructions] Your first question comes from Edwin Mok with Needham.
Y. Edwin Mok - Needham & Company, LLC, Research Division: So I have a question regarding your guidance. How much are you factoring -- is the sequential decline, the modest decline that you guys talk about, is it all come from system sales? If so, are you expecting further decline in GSS or flattish GSS? Just kind of directionally, how do we kind of think about that?
Mary G. Puma: Yes, the decline is mainly in systems. I mean, if you take a look at what we're forecasting for a decline, it is a slight decline. In fact it's really, from a systems perspective, one implanter. So that's what we're looking at for the quarter.
Doug Lawson: Yes, I think the only thing to note, Edwin, is we talked a little bit about sort of a shift this last couple of quarters. We talked about it all being high energy, and now we're seeing a little bit of a shift towards this second-tier market and more MEMS and image sensor and other things. So that's widening the product line as well.
Y. Edwin Mok - Needham & Company, LLC, Research Division: I see. So in the second quarter, you actually could potentially ship -- shipping a few of those more legacy tools, right, just because of those markets that you're looking at, right? Am I correct on that?
Doug Lawson: Yes, that's correct. There could be some legacy tools in that mix.
Y. Edwin Mok - Needham & Company, LLC, Research Division: I see. The second question I have is, I think, Kevin, you talked about driving towards kind of longer-term target of 40% plus gross margin, right, as we go through this year and as you're able to work down the costs of the Purion product and improve the cost structure there, right. But with this pause coming up, which in my view at least 2 quarters of a pause, right, does that actually delay that time frame? Meaning that your gross margin, you might not get there until sometime in 2015?
Kevin J. Brewer: Well, the thing we've talked about, Edwin, is really getting to the 40% plus kind of in the next cycle. We were talking mid 30s this year and then moving as the Purion M and H come into higher volume, moving those gross margins from the mid 30s up to the 40s. We are -- with the delay, it obviously will push out a few of the initiatives we're working on. But it's -- it probably actually -- it can end up helping us get a little bit more cost initiatives in place before the high-volume production really starts on the follow-on Purion orders. So I would say, overall, our roadmaps are mostly on track with a small -- maybe a small shift because of delay. But again, I don't see it as a major hurdle.
Doug Lawson: I think -- Edwin, let me just add one thing to that. I think the pause also allows us more time or sort of more runway to establish footprint for all 3 products. And so as we go through the next down cycle, hopefully not for a while, and then come in to the next up cycle, we'll have larger footprint and higher volumes, which will support a more rapid rise to that 40% mark.
Y. Edwin Mok - Needham & Company, LLC, Research Division: Great. That's helpful. And then on the Purion M with the third customer -- you guys have announced the first 2 customer qualification, and there's a third customer, right? And then I think -- I guess they made a press release recently in terms of their strategy for the processes, right? Does that affect the timing of that qualification? Would that push out to the second half?
Mary G. Puma: No. If you listen carefully to the script, what we basically said is that we actually have completed the technical qualification and evaluation portion of that. And we have all 3 customers right now set up and in place for repeat orders, capacity buys, later on in the year as their buying picks back up. So basically, the 3 evaluations are complete.
Y. Edwin Mok - Needham & Company, LLC, Research Division: I see. Did you guys recognize revenue for the third customer then?
Mary G. Puma: No. We didn't recognize revenue for the third customer yet. It's essentially closed out from an evaluation perspective, but we are basically working out some of the commercial details, and that will be completed shortly.
Y. Edwin Mok - Needham & Company, LLC, Research Division: I see. Great. That's helpful. And then finally on the Purion H, you mentioned that there's a -- you expect to ship an eval this quarter and potentially more eval for the coming quarter, right? Kind of any way we can kind of think about that in terms of how much timing it takes for you to finish those evals? Because I know some customers want to do a 12-month eval, but in some cases, you can do it faster than that. So just trying to get -- I'm just trying to get a sense in terms of once you start these evaluation shipments, what -- when should we get to the revenue ramp time frame?
Mary G. Puma: I think to your point, the evaluation time frame will vary customer to customer. But because this is a platform and the fact that the customers, as we mentioned, too, are taking the first Purion Hs also have the Purion XEs and the Purion Ms. There's an expectation both from an Axcelis standpoint and a customer standpoint that, that evaluation time frame will be reduced and that capacity buys could start in a period that would be much shorter than 12 months. It doesn't necessarily mean that the revenue on the first evaluation tool would be recognized in a shorter time frame. But it does mean that the repeat orders could come in at a significantly shorter time frame.
Y. Edwin Mok - Needham & Company, LLC, Research Division: Great. I guess last question is, assuming the cycle recovers towards the end of later part of this year and going into 2015, right, and we have both the Purion M starting to ramp production as well as this Purion H starting the initial ramp, right, would you get to a situation where you might need a little more cash, right? Or how do you kind of manage your cash through that ramp as that happens?
Kevin J. Brewer: Yes, so what we would do, Edwin, the way the line is set up, the credit is against the receivable. So if we get ourselves into that ramp and we need additional cash, that's what the line of credit is there for. And we've also talked to our bankers that should we need an additional amount on that line of credit, that as long as the receivables are right [ph] at the back, that they'd be willing to open that up. I think if you remember, we had a much bigger line of credit in place at Silicon Valley prior to this most recent that we put in place. So I think we're -- from a cash position, I think we're in good shape right now. And if we get into a ramp, I think with the cash we have and the line of credit, we should have ample cash.
Y. Edwin Mok - Needham & Company, LLC, Research Division: Yes, sorry, can you remind me how much line of credit you have?
Kevin J. Brewer: It's $10 million right now.
Y. Edwin Mok - Needham & Company, LLC, Research Division: I see. $10 million, but you have room to increase that if that's needed?
Kevin J. Brewer: Yes, that's with Silicon Valley Bank, and we've spoken to them on different occasions that they are willing to open that up. It doesn't make sense to open it up at this point because you're basically paying kind of a fee on an unused line that you're not using. So when it gets to a point where we need that and perhaps need a larger amount, then it will make sense to open up that line to a bigger amount.
Operator: Our next question comes from Brett Piira with B. Riley.
Brett Piira - B. Riley Caris, Research Division: Maybe just back to the Purion M, you guys talked about a hopeful ramp in the second half. Do you guys have any sort of visibility into that? And then second, following along those lines, can you just remind us kind of the lead times there, when you would need to see orders to ship those in the back half?
Doug Lawson: Brett, the plan pretty much is still on track where we've got the 3 customers now qualified to support the Purion M ramp. So we still continue to expect some orders to start during the second half as we've been saying all along. This pause could slide them towards the end or a little bit more into the first quarter of next year, but nothing has changed in terms of the product ramp plans.
Brett Piira - B. Riley Caris, Research Division: Okay. And then maybe just on the operating side, now that we are kind of below the $60 million breakeven level and it looks like we could be there again in 3Q, have you guys readdressed at all the target model? Do you think you could lower OpEx even more? Or are you still comfortable at this level?
Kevin J. Brewer: Thanks. The guidance we've been giving on the OpEx, the $20 million to $21 million range is where we need to be based on the investment in the new products and what we need to do with the sales channels. So we feel comfortable that if we stay in that range, that's where we need to be. Obviously, if things, for some reason, took a bigger turn for the worse, we'd have to go back and then readdress that spending level.
Operator: Our next question comes from Patrick Ho with Stifel, Nicolaus.
Patrick J. Ho - Stifel, Nicolaus & Company, Incorporated, Research Division: First, in terms of the Purion H and some of the applications that it's serving, can you give a little more color in terms of where you're seeing, application-wise, the greatest interest for Purion H? And also, does that open up the opportunity for you guys to expand your foundry and logic customer base?
Doug Lawson: Yes, Patrick. The interest in the Purion H is across the board, actually. People are finding the tool to perform better than the competition in many, many aspects. It's got a much broader energy range. It's much more than a traditional high current implanter. The magnetically scanned spot beam gives them great technology to control angles and uniformity, things that are critical in advanced planar devices, whether they're memory or logic, and absolutely in FinFET. And so there's a lot of interest from both sides. So the answer is, yes, the Purion H definitely gives us the ability to expand into the foundry market.
Patrick J. Ho - Stifel, Nicolaus & Company, Incorporated, Research Division: Great. That's helpful. Maybe getting back to the cash question that Edwin asked earlier but maybe from a different angle. Kevin, in terms of some of the evaluations that are going on right now, as you're in this pause, could we see, I guess, a higher level of cash burn as working capital needs increase, particularly as it relates to some of the evaluation units you have out there related to the Purion H? Or have you accounted for that over the next few quarters?
Kevin J. Brewer: Yes, I think, Patrick, when we built the plan for this year, we took into account what our eval costs are going to be. And again, the $20 million to $21 million range is the level of expenses we thought we needed to have to cover the evals that we were going to be required to do. So I don't see that causing a significant burn on cash based on what we got currently modeled. So I guess the answer to your question is we have that modeled in at this point.
Operator: Our next question comes from David Duley with Steelhead Securities.
David Duley: A couple for me. Could you just talk about the different segments of the memory market and what kind of spending you are seeing now and what you see in the outlook? And what I mean by that is 3D NAND versus planar NAND and then regular DRAM?
Doug Lawson: Sure, Dave. Right now, as we said in the script, the spending on the leading-edge memory is a little bit muted. On the NAND side, there's a balancing going on between, actually from different customers, between 3D and planar and even within individual customers trying to allocate the appropriate fab space. I think that's slowing down some of their buying decisions as they hammer that out. There appear to be some yield issues and some qualification issues that are slowing down the 3D adoption as well. So I think that's what's going on, on the NAND side. We see a lot of activity in terms of demand for NAND in the broader market and so fully expect that they will start ramping towards the end of this year and definitely in the first half. On the DRAM side, the DRAM market, it seems to be pretty active at the early stages of the cycle. There's -- we know of at least a couple DRAM fabs, mega fabs, that are under construction. Those shelves are expected to be ready for move-in in the first half of next year. So we expect to see the DRAM market move into a fairly rapid growth cycle during the first half.
David Duley: So to -- you might say that most of the slowdown that you've seen is on the NAND side, in particular on the 3D side. Is that a true statement?
Doug Lawson: I think, in general, it's kind of -- it's more or less across the board. We've seen a little more activity, I think, on DRAM recently, but there's a lot of early stage activity on DRAM. So any equipment that they're buying for that is in existing fabs as they try to maximize their fab output.
David Duley: Doug, do you have more content in the 3D NAND factory than you do in the planar one?
Doug Lawson: It's very similar.
David Duley: Okay. Final question from me is, have you recognized Purion M revenue yet? And maybe you could help us understand what percentage of the mix the M is?
Mary G. Puma: Well, we've recognized revenue for 2 out of the 3 evaluation units that are out there. As I mentioned, the third evaluation, we have closed on all the technical specs. And in fact, the tool has actually moved into warranty. So it's just simply a matter right now of finishing up some of the commercial terms and details, and we should recognize the revenue on that third one very shortly. As a result, we're very well positioned now to get follow-on business from those 3 customers as we see them spend throughout the remainder of this year and into 2015.
Doug Lawson: And Dave, that's exactly on the timetable that we've been talking about where we expected to get things closed in this first half and begin to ramp revenue on the Purion M during the second half.
David Duley: And just remind me, the 3 customers, are they all memory customers or just maybe give us the lineup again?
Doug Lawson: Yes, well, we don't give customer names, but 2 are memory customers and one is a foundry.
Operator: We have no questions at this time. [Operator Instructions] This concludes the Q&A portion of the call. I will now turn the call back over to Mary Puma, who will make a few closing remarks.
Mary G. Puma: Thank you. So we expect to be out in the road this quarter attending the B. Riley conference in Los Angeles on May 20, the Craig-Hallum conference in Minneapolis on May 28, the Cowen conference in New York City on May 29, the Needham & Company Corporate Access Day in Boston on June 9 and the CEO Summit in San Francisco on July 9. We look forward to speaking to and seeing many of you soon. Thank you very much.